Operator: Ladies and gentlemen, good afternoon. I would like to welcome everyone to the Theravance Biopharma Third Quarter 2024 Conference Call. During the presentation, all participants will be in a listen-only mode. A question-and-answer session will follow the company's formal remarks. [Operator Instructions] Also, today's conference call is being recorded. And now, I'd like to turn the conference over to Rick Winningham, Chief Executive Officer. Please go ahead, sir.
Rick Winningham: Good afternoon, and welcome to the Theravance Biopharma's third quarter 2024 earnings results conference call. I encourage you to review our forward-looking statements disclaimer on slide 2, which covers certain risk factors, which could cause actual results to differ materially from any forward-looking statements that we might make in today's call and which are described further in our filings with the SEC. You will find today's agenda on slide 3, along with members of the Theravance leadership team who will join me on the call today. These are Rhonda Farnum, Chief Business Officer; Aziz Sawaf, Chief Financial Officer; and Aine Miller, Head of Development. Now, if you turn to slide 4, I'd like to cover our most recent operational and financial results. Starting on the left, we're pleased to have delivered sequentially improved YUPELRI quarterly net sales performance in partnership with Viatris having driven 7% growth year-on-year and 14% quarter-on-quarter to $62.2 million in a new launch today high. Third quarter YUPELRI demand increased 14% and hospital doses increased 40% versus the same period a year ago. Second, we made solid progress on our pivotal CYPRESS study for Ampreloxetine and remain on target to achieve our updated time lines. Lastly, GSK delivered another good Trelegy result reaching $789 million for the quarter and putting us in a position to achieve the higher $50 million 2024 sales milestone should fourth quarter sales exceed approximately $610 million, which is well below consensus estimate. If achieved, Theravance would expect to receive this milestone in the first half of 2025. Turning to slide 5, I'd like to cover two initiatives our Board has approved related to our ongoing efforts to unlock value of Theravance Biopharma. These reflect our willingness to proactively implement measures aligned with the interest of our shareholders, while sharpening our operational focus in pursuit of delivering innovation to medicines -- to patients with the highest unmet medical need. First, in keeping with our regular review and updating our governance practices, we announced that the Board of Directors has separated the role of CEO and Chair and that Susannah Gray has been elected Chair of the Board of Theravance Biopharma. I'll continue my focus and my efforts on Theravance's mission as a Director and CEO. Susannah's unique experiences and skill set make her a natural choice to lead the Board moving forward as she brings over 30 years of experience in the biopharmaceutical industry, specializing in capital markets and corporate finance. Second, we announced today that the Board of Directors has formed a strategic review committee consisting of independent directors with the purpose of comprehensively exploring alternatives available to the company involving all of its key assets, including YUPELRI, Ampreloxetine, Trelegy and its tax attributes. Lazard will be acting as a financial adviser to assist in this review process. As we've stated consistently, Theravance's Board regularly considers options to enhance the company's strategic positioning and we believe that forming a strategic review committee highlights our focus on unlocking value and aligns with our shareholders' best interest. Lastly, as we've previously communicated, we remain committed to returning excess capital to shareholders. Now I'd like to turn the presentation over to Rhonda, to cover YUPELRI's performance in the quarter. Rhonda?
Rhonda Farnum: Thanks, Rick. I will begin with Slide 7, where we present YUPELRI's quarterly net sales progression. Beatrice reported 7% year-over-year growth in net sales, reaching approximately $62 million, which is an all-time high. This growth was driven by a 14% increase in demand, exceeding expectations. Additionally, this quarter showed sequential improvement in pricing and channel mix relative to Q2 and we have also seen a more recent increase to Average Selling Price or ASP. When we reported second quarter performance, we highlighted net pricing headwinds due to channel mix, specifically increased demand into lower-margin channels and one-time charges that impacted quarterly pricing. In collaboration with VIATRIS, we are executing on strategies to deliver demand in higher-margin, non-retail channels. And we are confident these initiatives will continue to enhance, net pricing and overall brand performance. And as a reminder, we are limited in our ability to discuss certain elements of pricing given confidentiality considerations. Turning to Slide 8, we continue to experience considerable momentum in the hospital setting. During the quarter, we shipped approximately 227,000 YUPELRI doses, up 40% compared with Q3 of 2023 and equivalent to our performance in Q2, which was particularly strong. Notably, this pattern is typical of the seasonality we see in our Hospital business, where Q3 does not show as much sequential growth as in other quarters. As a reminder, the strategic objective for our focus in the hospital study is to create a catalyst to drive post-discharge outpatient maintenance use of YUPELRI. Supporting that objective, we continued to broaden our base of formulary wins and implementation of therapeutic interchange protocols, to position patients to continue their treatment after leaving the hospital. Based on our historical experience and a better-than-expected rate of formulary and new account wins in the quarter, we expect a strong finish to the year and continued momentum into 2025. On Slide 9, you can see how our Hospital performance has contributed to share gains within the hospital long-acting Neb market on the left-hand side. Based on data through the end of the quarter, we are up to a nearly 19% share, which is a new all-time high. As it relates to our concomitant use messaging and the goal of driving to a 2:1 ratio of Neb LABA to YUPELRI use overtime, we continue to make good progress and ended the quarter at a 3:1 ratio. We see further opportunity for improvement in coming quarters, which should help us continue to contribute significantly to YUPELRI's overall growth. On the right-hand side of the slide, you can see YUPELRI's share development in the community setting. As a reminder, we do not have a full data view by the time we report, so the 32% share we are presenting here only represents our performance through August. Given the demand generation we are seeing compared with trends we see for nebulized labs in the community setting, we are optimistic this trend will continue to develop favorably moving forward. Moving on to Slide 10. In addition to the substantial opportunity that still remains in the U.S., we also see significant potential to realize value in China, where Beatrice filed an NDA in June. The median time to review an NDA in China is approximately 15 months, and we stand to realize a $7.5 million milestone on approval. Additionally, we have the opportunity to earn up to $37.5 million of sales milestones and upwardly tiered royalties of between 14% and 20%. Finally, I will wrap-up my comments on Slide 11. First, YUPELRI is a unique medicine, offering a substantial and highly differentiated value proposition. It is the only nebulized LAMA for COPD maintenance treatment in the U.S., and we believe it is underutilized within the patient population to which it is best suited. We see long-term growth potential for the product, driving considerable value to Theravance shareholders. Second, in addition to our co-promotion economics in the U.S., we potentially stand to have achieved milestones and royalties as outlined here, which includes those I referenced in the previous slides associated with the potential new opportunity in China. At this point, I'll turn things over to Aziz for an update on Trelegy. Ravi Aziz?
Aziz Sawaf: Thanks Rhonda. I'll start on Slide 13, where I'll discuss our potential to earn milestones for Trelegy. As reported by GSK, Trelegy sales increased 17% in the quarter to $789 million. Year-to-date, this brings sales to $2.6 billion, up 30%. Based on year-to-date results in Q4, we estimate that GSK needs approximately $260 million in sales for us to achieve the $25 million milestone and approximately $610 million in sales to achieve the $50 million milestone. To put the $610 million requirement into perspective, this is $240 million or approximately 30% less than the consensus estimate of $850 million. We believe the recent performance for Trelegy bodes well, not just for the 2024 milestones, but also for the $150 million of additional milestones we could achieve in 2025 and 2026, where consensus estimates are significantly higher than the sales required to achieve the full $150 million of milestones. Given we are in a position to earn a milestone in 2024, I'd like to remind investors that achieving these milestones is tied to Royalty Pharma's receipt of Trelegy royalties from GSK. In order to make it easier for investors to track, we have provided an estimate of what net sales would need to be in order for these Royalty thresholds to be met. For example, should 2024 net sales exceed $3.2 billion, we estimate that GSK would pay Royalty Pharma $275 million in royalties, which would trigger the $50 million milestone to Theravance. Turning to Slide 14, a reminder that in 2029, high single-digit royalties on Trelegy will revert back to Theravance, an asset we believe is often overlooked as a component of long-term value to shareholders. Now, I'll hand it back -- hand it to Aine to -- now, I'll hand it to Ana to provide a brief update on Ampreloxetine. Aine?
Aine Miller: Thanks, Aziz. I'll begin on Slide 16. As we discussed on our last earnings call, we've been working with important academic institutions and affiliated MSA sensors of excellence in order to deliver high-quality results for our Phase III pivotal study CYPRESS. The level of expertise at these sites ensures that the trial experience of these patients is well managed and enables us to both recruit and retain the appropriate number of patients we required to report out the CYPRESS study. During quarter three, we were able to progress and open additional sites as planned. We have enrolled patients over the quarter at a month-over-month ROIC that keeps us on track to achieve our objective of enrolling the final patients in the open-label portion of CYPRESS by the middle of next year and disclosing top line results of the study approximately six months later. Turning to the bottom of the slide, we continue to engage the scientific community with presentations at both the International Parkinson's Disease and Movement Disorder Conference, also referred to as the MDS meeting, which took place in September and the American Autonomic Society meeting held earlier this month. Our MDS presentation focused on safety and tolerability data observed in the long-term extension of Study 170. Ampreloxetine was generally well tolerated by patients with nOH with only 10% of patients experiencing treatment-emergent adverse events considered related to Ampreloxetine and no patient reporting supine hypertension. Just 6% of the 110 patients evaluated in the study dropped out over a mean duration of exposure to Ampreloxetine of approximately nine months. A second analysis just presented at AAS evaluated data from our 169 study and highlighted the impact of nOH on symptom burden and daily functioning in patients with nOH. This analysis demonstrated greater baseline nOH symptoms in MSA as compared to other synucleinopathies, translating into higher symptom burden, reduced functioning and lower quality of life despite treatment with available pressure agents. A clear need for improved treatment alternatives remains in symptomatic nOH in MSA that we hope Ampreloxetine will help address. On Slide 17, I'll briefly remind you of where we stand with Ampreloxetine. We've substantiated the significant unmet need, which we believe can be addressed with a targeted commercial effort. Approximately 40,000 patients with MSA in the United States suffer from symptoms of nOH and available therapies have significant efficacy and safety limitations. We validated Ampreloxetine target profile, which has clear differentiation from available alternatives used to treat nOH and MSA patients. Our work to date on Ampreloxetine supports its safety and tolerability profile and its ability to raise plasma norepinephrine and prevent symptom worsening. We are aligned with FDA on requirements for a full approval should the CYPRESS study be positive, and we have obtained orphan drug designation in the United States. We believe we are positioned to complete our regulatory filing quickly given we have already -- given the work we've already completed. Now I'll turn the presentation back to Aziz for our financial results and guidance. Aziz?
Aziz Sawaf: Thanks, Aine. Starting off with the results for the quarter. Slides 19 and 20 cover the detailed financials. I'll review the highlights on Slide 21, where we had a solid quarter with slightly better-than-expected results across all key financial metrics. Starting with collaboration revenue, we reported $16.9 million, above expectations, representing an 8% increase compared with last year. This quarter also marked an all-time high in product level profitability. Total operating expenses, excluding share-based comp, saw a modest year-over-year increase due to the progression of the CYPRESS study, but were slightly better than expectations. And while our R&D expenses increased, thanks to cost savings initiatives, G&A expenses decreased by 7% in the quarter and 21% year-to-date compared with last year, positioning us to achieve our goal of a 20% reduction for the year. We reported $5 million in share-based comp for the quarter, another 21% reduction when compared with last year. This, again, puts us on track with both our G&A and share-based comp reduction targets for the year. During the quarter, we incurred a $1.6 million non-cash impairment charge, due to the write-down in the value of our operating lease assets related to our excess lab space. Given current market conditions, we took a conservative approach and wrote down the full remaining value of the lease related to our excess lab space. We closed the period with $91 million of cash and 49 million shares outstanding. On Slide 22, I'll comment on our expected financial performance in the fourth quarter and full year 2024. We are reaffirming guidance made at the beginning of the year and expect R&D expenses in Q4 to be slightly higher than Q3 due to the continued progression of the CYPRESS study and for SG&A expenses to be similar to Q3. For the full year, this would put us near the midpoint of guidance for both R&D and SG&A. Furthermore, we expect our non-GAAP results and cash burn in Q4 to be consistent with Q3. Finally, as was the case last year, we expect to incur a higher non-cash tax charge sequentially in Q4, primarily due to better-than-expected results and other non-cash charges from one of our operating entities. Looking ahead to 2025, our minimal cash burn enables us to progress the CYPRESS study to a major value inflection point without relying on the capital market. Our focus remains on driving growth through disciplined investment and delivering long-term value to shareholders. With that, I'll pass it back to Rick to conclude. Rick?
Rick Winningham : Thanks, Aziz. I'll conclude on Slide 23 by covering the main strategic elements of our plan to maximize the value of Theravance Biopharma, while delivering on our core mission of delivering medicines that make a difference to patients. First, a top priority is always to maximize the number of appropriate patients on YUPELRI, who could benefit from its significant loan function improvement delivered via nebulization over a full 24 hours. Based on our market research, we continue to see a considerable opportunity to expand YUPELRI's utilization in the United States, and we're optimistic about its growth moving forward. Second, we're progressing well with both CYPRESS enrollment and our regulatory and early commercialization preparations for ampreloxetine in nOH and MSA and are looking forward to delivering important milestones in 2025. Third, we're dedicated to maximizing value for shareholders. We're excited with the trends that we've seen in Trelegy and the potential milestones that could accrue to the company. We're managing our expenses carefully and expect to limit cash utilization moving forward. The Board has formed a strategic review committee to evaluate all alternatives available to Theravance to unlock the significant value of Theravance's assets given our view that much of the intrinsic value is not currently reflected in our share price. And finally, we remain committed to returning excess capital to shareholders. We thank you for your continued support. And at this time, are ready to open the line for questions.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from Julian Harrison with BTIG. Your line is open.
Julian Harrison: Hi, congrats on the quarter and thank you for taking my questions. First, I'm curious if you're seeing any changes in YUPELRI prescribing patterns post ensifentrine launch, either headwinds or tailwinds there? And then second, can you remind us where you stand on site activations for the CYPRESS study? Are you at target now? If not, how far away are you from that?
Rick Winningham: Yes. Sure, Julian. Thank you. Rhonda, you want to take the YUPELRI question and then Aine will follow.
Rhonda Farnum: Yes. Great. Thanks for the question, Julian. As I've mentioned before, we're very excited to have other effort and share of life in the marketplace, highlighting the importance of nebulization as an offering for patients. And I think it's a little too early to see kind of the full gamut of what exact patients are getting, what relative to ensifentrine. But I will say anecdotal feedback that we're hearing from the field, we are hearing that ensifentrine is being added on to YUPELRI and specifically a multitude of examples of concomitant use, so LABA, plus LAMA and then ensifentrine added on.
Aine Miller: I think as we get closer, maybe another quarter in, we'll have full visibility into the Med B prescribing and can be able to comment on that more readily.
Rick Winningham: Good. [indiscernible]?
Unidentified Company Representative: Julian, very pleased to say that we're now in a position where we have the vast majority of our sites now activated. You'll remember last quarter, we talked about our remaining number of key sites that we wanted to progress. And we've been in a position to progress them over the last quarter and almost all sites over the line at this point.
Julian Harrison: Excellent. Thank you and congrats again.
Operator: One moment for our next question. Our next question comes from Ernie Rodriguez with TD Cowen. Your line is open.
Ernie Rodriguez: Hi, team, congratulations on your record quarter and thanks for taking our question. I’ll start with YUPELRI, you mentioned the hospital doses saw increased by 40% year-to-year and you also are increasing your market share, could you give us more color on what's driving that and what the expectations are going forward as the year-to-year becomes slightly harder comp?
Rick Winningham: Rhonda?
Rhonda Farnum: Yes. Thanks, Ernie. What continues to drive that growth, which we are very pleased with, is continuing to build upon the number of formulary approvals we have in the US, as well as when we are able to achieve a formulary that that formulary also includes a therapeutic interchange, which I think you already appreciate that, that basically puts in place in the EMR system the substitution for when LAMA is prescribed that YUPELRI is the choice. So seeing this last quarter that of our focus accounts, we have now moved up to 50% of those accounts have a therapeutic interchange. So where we have therapeutic interchange, we have significantly higher market share. So I commented that we're roughly at 19% for total market share where we have therapeutic interchange, we are at 36% market share. So it's getting those wins that are continuing to drive that effort in the hospital channel.
Ernie Rodriguez: Got it. Thank you. That's very useful. And then just had another quick question on the committee, the newly formed committee to – is in the strategic alternatives, like what prompted the initiatives I guess, why now? And what would be the ideal outcome of options that you'd consider?
Rick Winningham: Yes, Ernie, great question. Well, the Board is always evaluating the company's strategy against both short-term and long-term goals. If you look at where the company is today, and we've covered a number of the key elements of value in the company namely the continued strength of Trelegy, not only the 50 million milestone coming in for 2024 sales, coming into frame and what we should be able to earn. But the other milestones in 2025 and 2026 as these are highlighted. So you put Trelegy and those milestones in longer term, the royalties coming back to us, you have YUPELRI growing in the United States, continuing to grow. We've worked closely, as Rhonda said, with Viatris over the last quarter sharpening up our execution sort of across the Board. And then the China approval. And then slightly around 12 months or so from data from a very important Phase 3 study with Ampreloxetine in a rare neurological condition in Cyprus and then you kind of close with the tax attributes. The Board determined that now is just an appropriate time to undertake a formal review with Lazard's help of the options that are available to the company to unlock the value of those assets. And given – we want to take a proactive approach that allows us to make informed decisions that will benefit our shareholders. So I think that's the sum substance of the action is we believe that our assets are appropriately valued. The Board's got a strategic review committee in place now to work with Lazard to map out a plan and actions to get better valuation out of those assets to the benefit of our shareholders and the underlying business of Theravance is very strong, and we're optimistic about it. So we need to pull that value through to our shareholders. Does that help?
Ernie Rodriguez: Yes. No, that's very helpful. Thank you for that. And congrats again on the quarter.
Operator: Thank you. [Operator Instructions] It appears we have no further questions on the phone. I'd like to turn the conference back over to Mr. Winningham. Please go ahead, sir.
Rick Winningham: Thank you, operator. Thanks, everyone, for participating and joining us in our third quarter update call and look forward to seeing all of you soon, and have a good day.
Operator: Pardon me, Mr. Winningham. We did have one person just queue up. Did you want to go ahead and take that question?
Rick Winningham: Yes.
Operator: Sure. One moment. Our next question comes from Douglas Tsao from H.C. Wainright. Your line is open.
Douglas Tsao: Hi, good afternoon. Thanks for taking the questions. So apologies in advance, if this question has already been asked. But just curious, it looked like we sort of started to have a nice rebound with YUPELRI this quarter, certainly coming in ahead of our expectations. Just curious the extent that you were able to make progress in terms of impacting the ASP and what that might mean for -- expectations heading into 2025? Thank you.
Rick Winningham: Rodney, do you want to take that?
Rhonda Farnum: Yes. Thanks, Doug. I think relative to progress, as we've highlighted in the past, typically to ASP, that's a two-quarter lag of impact once there are any implications or initiatives that are put in place. So I think more of what was able to drive the success in Q3 was really looking at that further supplier diversification and the output of the channel deployment and execution very specifically across all channels, that being community hospital, long-term care, et cetera. What I would say relative to the improvement in price relative to Q2 and the expectation that overall price will continue to improve, that's more relative to early 2025. So you combine that with the strong demand growth we have been seeing now for two quarters straight. We're just remaining very optimistic about net sales progression for the brand into 2025 and certainly beyond.
Rick Winningham: And I think, Doug, coming out of the second quarter, the collaboration really with Viatris on pricing, on marketing and driving the business forward just has been excellent. So I interrupt -- did you go ahead.
Douglas Tsao: No, no. And I was going to say, Rick, I mean, so obviously, Rhonda, as you noted, there is a lag in terms of the reported ASP and that obviously affects what you're able to command in certain channels. But I'm just curious in terms of the sort of receptivity or impact on the customer base as you sort of try to pursue these initiatives and whether you have experienced in a resistance or were you able to sort of implement them without any kind of disruption from a volume standpoint? So ruffling feathers is perhaps a better way to put it.
Rhonda Farnum: Yes. Well, it's always the goal to not ruffle feather. So I would say I would answer to the latter is the situation.
Rick Winningham: You might just talk Rhonda briefly for talking about the overall value -- the value prop really for YUPELRI in the patients that we're treating in the hospital in the community.
Rhonda Farnum: Yes. Well, I think we've certainly highlighted in the past of where there continues to be what we feel is under-realized opportunity within three different patient segments. And certainly, borrowing off of what I commented on relative to the con -- the concomitant use strategy, ensuring that where there is LABA use that we want to ensure that along with mirroring gold guidelines that adding that LAMA or YUPELRI is certainly in the consideration. So executing on that, improving that ratio the goal is to get to 2 to 1 and continuing to see improvements in both the hospital and the community efforts there. And then for those patients who already prefer nebulized therapy and recognize that concomitant use is certainly an option. There are still those patients that are relying on short-acting neb therapy to support what they feel is their maintenance care, but they are using a nebulizer four to six times a day and still experiencing symptoms. So the goal is to continue to switch those patients from short-acting neb, get those patients controlled and ensure that they're recognizing the value of a long-acting medication. And then lastly, for those patients that are receiving triple therapy, handheld often -- most often, I should say, as a dry powder inhaler. We want to ensure that this patient population recognizing that exterity, cognition difficulties, are limiting their ability to use the device properly. So this represents a primary reason of why we feel that there is an opportunity to educate on the value of changing device which is easy to administer and offers a once-daily option for these patients. We feel like recognizing the value and the number of roughly 1.5 million patients that could stand to benefit from YUPELRI in addition to the 400,000 that represents the first wo segments I just highlighted, there is significant room to grow this brand.
Douglas Tsao: Okay. Great. Thank you
Operator: And that was our last question. I'm not sure if you finished your concluding comments, Mr. Winningham.
Rick Winningham: I did, operator. Thank you very much. Thank you for joining us.
Operator: You're welcome. This concludes today's conference call. We thank you all for your participation. You may now disconnect.